Operator: Good day, ladies and gentlemen, and welcome to the ExactTarget Fourth Quarter 2012 and Fiscal 2012 Financial Results Conference Call. My name is Anne, and I will be your coordinator for today's call. As a reminder, this conference is being recorded for replay purposes. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Mr. Mitch Frazier with ExactTarget. Please proceed, sir.
Mitch Frazier: Thank you, Anne. Good afternoon, and welcome to ExactTarget's investor conference call for the fourth quarter ended December 31, 2012. Joining me today to discuss our fourth quarter and full year 2012 results are Scott Dorsey, Co-Founder, Chairman and Chief Executive Officer; Scott McCorkle, President, Technology and Strategy; and Steve Collins, our Chief Financial Officer. Our commentary will include non-GAAP financial measures today. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in our earnings press release. The primary purpose of today's call is to provide you with information regarding our fourth quarter 2012 performance. As a reminder, some of our discussion and responses to your questions may contain forward-looking statements as contemplated by the Private Securities Litigation Reform Act of 1995. These statements are subject to risks, uncertainties and assumptions, which are described in our most recent Form 10-Q filed with the SEC. Should any of these risks or uncertainties materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements. To access our fourth quarter press release, including the GAAP to non-GAAP reconciliations or historical results, any of our SEC periodic reports, a webcast replay of today's call or simply to learn more about ExactTarget, I encourage you to visit our Investor Relations website at exacttarget.com/investor. Finally, before I turn the call over to Scott, please be advised that during today's discussion, we may reference certain unreleased services or features not yet currently available. We cannot guarantee the future timing or availability of these services or features, and thus recommend the clients who purchase our services make their purchase decisions based on services and features that are currently available. With that, let me turn the call over to Scott.
Scott D. Dorsey: Thanks, Mitch. Our fourth quarter results were outstanding, putting an explanation point on a historic year for ExactTarget and further extending our market leadership. Fourth quarter adjusted revenue increased 44% from a year ago to $85.8 million, our largest quarter in company history and our 48th consecutive quarter of revenue growth. For the full year, we delivered adjusted revenue of $293.8 million, up 42% from full year 2011. We also generated record-breaking positive operating cash flow of $8 million in the quarter, bringing our full year operating cash flow to $22.7 million. I'm so proud of what our team accomplished in 2012, and I'm incredibly excited about our momentum moving into 2013 as we continue to enable the best brands in the world to connect with their consumers through digital marketing. Our market opportunity across 7 product categories, which are email, mobile, social, web, marketing automation, data and analytics and platform, has never been greater. Marketing organizations are dramatically shifting budgets from offline to online channels due to the real-time nature of today's hyper-connected consumer and the compelling return on investment generated through digital marketing. As a global marketing SaaS leader, we'll continue our aggressive investment to capture this enormous market opportunity. Let me highlight 4 areas of investment: global expansion; research and development; our recent acquisitions of iGoDigital and Pardot; and the significant growth of our team, including our sales organization. Our ongoing global expansion is enabling us to win the enterprise business of large U.S.-based multinationals and penetrate new geographic markets full of opportunities. To [Audio Gap] recent product localization efforts, our suite of applications are now available in English, Brazilian Portuguese, German, French and French-Canadian. And our SocialEngage product is also available in kanji for Japanese market. With the addition of Paris and Stockholm in Q4, we now have offices in the U.S., Canada, U.K., Australia, Brazil, Germany, France and Sweden. For the fourth quarter, our non-U.S. adjusted revenue grew to $15.9 million, bringing our full year total to $53.4 million, representing 18% of total revenue, up from 14% in 2011 and 8% in 2010. In addition to new geographic markets, research and development continues to be another strategic area of investment. We invested over $54 million in R&D in 2012, furthering our competitive advantage and our unique ability to meet the demanding needs of digital marketers, from small and medium-sized businesses to large global enterprises across the full suite of marketing solutions. In addition to our significant investment in research and development, we've accelerated our move into cross-channel digital marketing through the acquisitions of social engagement pioneer CoTweet in 2010; and recently, web personalization leader, iGoDigital, and B-to-B marketing automation leader, Pardot. Integration activities with iGoDigital and Pardot are going incredibly well. Both companies bring talented leaders, excellent cultural alignment and tremendous product and technology synergy. Demand for iGoDigital's web personalization products has been very strong, and our global sales team has quickly embraced the iGoDigital products, already closing several transactions and building a strong pipeline going forward. Our product road map is compelling, bringing iGoDigital products into additional vertical markets and applying their predictive recommendations engine to other channels, like email and mobile, very powerful. With Pardot, demand has also been outstanding. The marketing automation space is hot, and our competitive position is enhanced by our unique ability to combine B-to-B and B-to-C marketing automation in a single platform. We are investing in furthering Pardot's leadership in the small business and mid-market while building additional enterprise capability to serve large global organizations. The momentum of Pardot's existing sales machine continues to be very strong. In addition, we've successfully closed several deals with enterprise clients since the acquisition. Just last week, Gartner included Pardot and ExactTarget as a B-to-B marketing solution for enterprises looking to replace their current provider, given recent acquisitions. International Data Corporation, known as IDC, forecasts the B-to-B marketing automation space will grow to $5.5 billion by 2016. This is a large and fast-growing market that we're incredibly well positioned to capture. The final area of investment that I'll highlight is the area that matters most, our people. We had an extraordinary year of hiring in 2012, bringing our headcount from 1,133 at the end of 2011 to 1,673 at the end of 2012. Our employees and our unique Orange Culture are ultimately why marketing organizations trust ExactTarget and why I believe we'll be the global marketing SaaS leader for many years to come. Our hiring in Q4 is robust across many areas of the business, including our sales organization, which now stands at over 400 professionals around the world. Our sales team had a tremendous fourth quarter, winning enterprise brands, such as Coca-Cola; Oppenheimer; Weight Watchers; Wendy's; Wal-Mart Canada; the International Air Transport Association  based in Switzerland; Cyrela, one of Brazil's largest real estate developers; and David Jones, Australia's oldest department store. Our team also did an outstanding job of growing existing client relationships, including Rockstar Energy; adding our MobileConnect and social pages applications; Clayton Homes, a Berkshire Hathaway company, adding our social pages application; and Fairfax Media, Australia's leading media company, adding our SocialEngage, social pages, MobileConnect and Audience Builder applications in the quarter. Now the news giant has expanded capabilities that power even more relevant cross-channel digital experiences for their customers. With approximately 10,000 direct and indirect clients leveraging our platform, we have a tremendous opportunity to further cross-sell our suite of digital marketing applications. With our accelerated growth in new products and recent acquisitions, we anticipate that more than 20% of our 2013 subscription revenue will come from non-email products. ExactTarget is the largest pure play marketing SaaS provider in the world. We are truly transforming how organizations communicate with their customers through digital marketing channels, like email, mobile, social media and the web. With our laser focus on inspiring and serving marketers, coupled with our unique business model of serving all segments across all vertical industries and an increasing number of geographies, we are best positioned to capitalize on this enormous market opportunity. Let me now turn the call over to our President, Scott McCorkle, to expand our on product and technology division. Scott will be followed by our CFO, Steve Collins, who will cover our financial results in more detail and provide Q1 and full year 2013 guidance. Scott?
Scott S. McCorkle: Thanks, Scott. I'm excited to share more about our success with cross channel digital marketing and the role innovation will continue to play in furthering our position as the global marketing SaaS leader. Our product development strategy is to build best-in-class applications across our 7 product categories: email, mobile, social, web, marketing automation, data and analytics and platform. These applications can be adopted on a stand-alone basis or in any combination fully integrated into the Interactive Marketing Hub. With the Interactive Marketing Hub, ExactTarget is the digital marketing system of record that organizations of all sizes use to manage who, when and how to communicate with their customers. In my experience working with our largest enterprise clients and prospects, it is clear that a digital marketing system of record is required and that it will transform their businesses. But how will organizations get there? In the early stages of this market, many organizations have chosen to adopt point solutions for one part of their digital marketing based on where they see the most opportunity. This is why our strategy of best-in-class applications, individually adoptable, is so important. The point solution providers won't last. Organizations must have all components of their digital marketing efforts integrated into one suite. This is why all of our applications are fully integrated into the Interactive Marketing Hub, with single sign-on, a common data model, integrated calendar, campaign management and analytics. The Interactive Marketing Hub also provides an integration framework that enables us to quickly integrate acquisitions, such as Pardot and iGoDigital, to create a seamless experience for our clients. We are driving an enormous amount of innovation, which is highlighted best at our Annual User Conference called Connections just held in October. We hosted more than 4,000 digital marketers from around the world and received tremendous feedback on our new product innovations. Let me highlight a few. First, we unveiled Interaction Studio, our real-time, event-driven, consumer-centric automation product. Matt Fleckenstein from Microsoft joined me on stage and spoke of how ExactTarget is redefining marketing automation and interaction management with Interaction Studio. We have the most complete marketing automation capabilities available, which we defined in 3 important categories. First, audience-based automation acts on very large sets of data for the purpose of segmentation and content optimization and is managed through our product, Automation Studio. Second, consumer-centric automation is our interaction studio product that I just mentioned. And finally, business-to-business marketing automation is the important role filled by Pardot's market-leading capabilities. Also at Connections, we launched MobilePush, the first integrated enterprise application to power data-driven push notifications apps on smartphones and tablets. This is a great example of how we can quickly add new digital channels as they emerge and become important for our clients. Demand has been strong since Connections, and we recently closed our first 6-figure MobilePush deal. We also launched Distributed Sending, our next-generation email sending capability, which enable large distributed organizations to manage hundreds of business units and thousands of users all through a simplified user interface with enterprise content management, permissions and roles, workflows and approvals. This product strengthens our enterprise capabilities and provides further opportunity to monetize the number of users  as a significant driver of contract value. Another big announcement at Connections was Hub Exchange, our framework to enable developers and marketing technology providers to build applications that extend our capabilities. Hub Exchange unlocks the power of our partner's ecosystem and accelerates innovation across our platform. While still in beta and available to our development partners, we anticipate opening Hub Exchange to our clients around the middle of the year. Our high level of innovation is matched with an equal intensity on system performance and availability. Our clients trust ExactTarget to deliver their most business-critical communications every second of every day. And in the fourth quarter, we achieved record study levels of performance across all system measures, including our highest transactional date ever on Cyber Monday. We are delivering tremendous innovation for our customers, and our pace of innovation will only continue to increase in the future. Now it's my pleasure to introduce our CFO, Steve Collins.
Steven A. Collins: Thanks, Scott. Q4 was another quarter of exceptional growth, with adjusted revenue increasing 44% year-over-year to $85.8 million. The strong finish to the year resulted in 2012 adjusted revenue growth of 42% to $293.8 million. We were very happy with all aspects of our revenue performance in the quarter, including recurring subscription revenue growth, renewal rates, cross-channel growth and international growth. Further, we're pleased with the early performance of our 2 acquisitions that were completed in the fourth quarter. While we do not plan to separately break out the results of these acquisitions, both are performing modestly better than the guidance we previously provided. You will notice in our reported results that there is a $1.5 million difference between GAAP revenue and adjusted revenue in the fourth quarter due to the fair value adjustment to acquire deferred revenue. We expect this difference to be less significant in coming quarters, with roughly a $1 million difference in all of 2013 from these 2 acquisitions. Recurring subscription revenue growth in the quarter was 49% on an adjusted basis as we once again had a subscription revenue renewal rate in excess of 100%. Recurring subscription revenue excludes professional services and onetime messaging overage fees. As we've described before, we intentionally strive to minimize overages revenue to improve our revenue predictability and to enhance customer satisfaction. Overages revenue in Q4 was 2.5% of total revenue compared to 3.3% of total revenue in the year-ago quarter. Q4 overages were above the trend earlier in the year as full year overages were 1.9% of total revenue. Q4 has historically been a higher quarter for overages revenue due to strong holiday volumes. Our mix of subscription revenue versus professional services revenue in the quarter was 82% and 18%, respectively, on an adjusted basis and total subscription revenue at $70.3 million and services revenue at $15.5 million. Non-GAAP gross margin was 65% in Q4 and 66% for the full year, which is within our targeted and historical range. Non-GAAP subscription gross margin was 76% in the fourth quarter and the full year. Non-GAAP services gross margin was 15% in Q4 due to increased hiring in the second half. Our full year services gross margin was 21%, which is a point above our targeted services gross margin. As a reminder, our services gross margin can fluctuate quarter-to-quarter based on the timing of new hires and the ramp on the billable projects. Turning to next to operating expenses. The non-GAAP operating expenses as a percentage of revenue increased to 73% of revenue in Q4, which is an increase both sequentially and on a year-over-year basis. There are 4 reasons for the increase in OpEx: one, the impact to the acquisitions of iGoDigital and Pardot; two, the timing of our Connections User Conference, which is in Q4 in 2012 and in Q3 in 2011; three, the back-end loaded nature of our international expansion as we expanded in Germany and entered France and Sweden late in the year; and finally, fourth, our hiring in 2012 was also back-end loaded. Our net headcount increased by 46 in Q1; by 89 in Q2; by 128 in Q3; and finally, by 277 in Q4, which includes the acquisitions. Turning next to the bottom line results. Q4 adjusted EBITDA was negative $0.5 million, and we had an adjusted net loss of $6.8 million. Both were better than our expectations due to revenue outperformance as our spending in the quarter was consistent with expectations. For full year 2012, adjusted EBITDA was $15.7 million compared to slightly negative adjusted EBITDA in the prior year. The 2012 adjusted net loss was $6.2 million, which significantly exceeded our expectations going into the year as a result of revenue outperformance and the back-end loaded hiring pace. Turning to cash flow. Scott mentioned the Q4 operating cash flow of $8 million, which also brought full year OCF to $22.7 million compared to OCF in 2011 of negative $2.8 million. CapEx as a percent of revenue was 15% in Q4 resulting in full year 2012 CapEx as a percent of revenue of 11%, which is well below the 15% of revenue invested for full year 2011. Our CapEx investments can fluctuate quarter-to-quarter based on data center capacity expansion and facilities expansion. We expect 2013 CapEx spending as a percent of revenue to be below that of 2012 as we continue to see scale and leverage from our earlier investments. Turning to the balance sheet. Our cash and marketable securities balance ended the quarter at $109.4 million after spending just over $100 million in cash on the 2 acquisitions early in Q4. I will now elaborate on the guidance for Q1 and full year 2013 outlined in our press release issued earlier today. For Q1, we expect adjusted revenue to be in the range of $87 million to $88 million. We expect our adjusted net loss in Q1 to be between $6 million and $7 million. We expect adjusted EPS to be a loss of $0.09 to $0.10, assuming Q1 weighted average shares outstanding of approximately 69 million. For full year 2013, we expect adjusted revenue to be between $370 million and $374 million. We expect 2013 adjusted net loss to be in the range of $20 million to $22 million. And finally, we expect adjusted EPS to be a loss of $0.29 to $0.31, assuming full year weighted average shares outstanding of approximately 70 million. In addition to our normal practice of providing guidance on the current quarter and the full year, I wanted to comment on one other aspect of quarterly expectations in 2013. Our Connections User Conference will be in Q3 this year compared to being in Q4 in 2012. This will likely cause a greater-than-normal year-over-year growth in operating expenses in Q3 as we expect our net investment in Connections to be approximately $2 million. Our 2013 guidance clearly demonstrates we expect our strong top line growth to continue and that we have an abundance of compelling investment opportunities to drive growth and extend our market leadership position. With that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question comes from the line of John DiFucci with JPMorgan.
John S. DiFucci: The first question is for Scott Dorsey, and I have a follow-up for Steve. Scott, questions on Pardot. You mentioned you closed several deals with enterprise clients, which is interesting to hear especially since it's still very early. But can you tell us a little bit more? Can you tell us how many you closed? And you alluded to acquisitions in the space, and Oracle's recent acquisition of Eloqua is the one that really stands out here. It actually sounds -- again, it's early, but it sounds like it is already having an impact on your business. I guess, I'm just trying to figure out how to read this. Can we -- is the Pardot run rate greater than it was when it was independent already as part of ExactTarget? Or it sounds like Steve said that, at least, performance of the acquisitions have been a little bit better than you expected?
Scott D. Dorsey: Sure, John. Thanks for the question. We're delighted with the integration and early momentum we're seeing from Pardot. And really as we share kind of our original vision for Pardot was to keep investment really flowing into their core business, serving small and mid-market, and that's continuing. And we're seeing really impressive growth within the small and mid-market. And then really to partner the Pardot team with the ExactTarget enterprise selling organization to start moving up into the enterprise space. So while I can't share specific numbers, we definitely saw some really nice enterprise wins in Q4, and we're building a strong pipeline going forward. So the business has enormous momentum. When you look at Eloqua being acquired by Oracle, it's very strong validation of the B-to-B marketing automation space, and it certainly does create opportunity for us. Specifically, Eloqua is no longer publicly listed on the Salesforce app exchange is one example where many of their integrations have been driven historically. So we're seeing success all over the market. Our original vision of moving Pardot in the enterprise space holds strong and I think the macro moves in the market just give us even more momentum and acceleration to move Pardot into the enterprise category.
John S. DiFucci: Does that mean that Pardot can see traction with Salesforce? Is that what you're saying there?
Scott D. Dorsey: Well, Pardot has very strong integrations with Salesforce, Microsoft CRM, NetSuite, SugarCRM, but there's a very strong concentration within the Salesforce ecosystem. So as we continue to partner with Salesforce, for Pardot and ExactTarget, that's definitely driving demand and momentum.
John S. DiFucci: Okay, great. And Steve, if I might, a follow up, the numbers look great there. Just a question on the guidance. Can you just help us gauge like how you're approaching guidance? This is, I think, the first time you've given it for a full year. And just relative to how you've approach guidance in the past, I guess, under your level of conservatism is the right word. But if you could just give us some sense as to how you're approaching guidance. Is it different than you have in the past or is it similar?
Steven A. Collins: Yes, when you look at 2012, we did midway through Q2 give our first guidance for the full year. So yes, you're correct, we're doing it 1 quarter earlier here. And yes, we're very pleased with the growth rates inherent in our guidance. We have aggressive growth plans across all of the channels that Scott described. And I think our approach to guidance is similar as we think about both top line and bottom line.
Operator: And our next question comes from the line of Tom Ernst with Deutsche Bank.
Thomas Ernst: First, I wanted to ask a couple of questions and either Scott is probably good to respond to this. Guys, it's encouraging to see the suite build-out, and you've given us a greater than 20% target as you look forward to the year. So the first question is, because you've made a couple of small acquisitions and one more medium-sized one, what sort of growth are you planning in the -- organically within the non-email businesses to hit that greater than 20% target?
Scott D. Dorsey: Tom, this is Scott Dorsey. Thanks for the question. As we think about growth in our newer products and non-email products, in particular, we're seeing really strong momentum from all the new innovations that we really built out over the last 2 or 3 years, coupled with the iGoDigital and Pardot acquisition. So really, as you go back even 3 years, our strategy and vision has been building the Interactive Marketing Hub and, as Scott spoke about during the prepared remarks, really the best-of-breed in each individual application but then pull all these technologies together to the Interactive Marketing Hub through single sign-on, common data model, calendar and campaign management analytics, et cetera. What that does for ExactTarget is it gives us a very big footprint and a technology platform where we can seamlessly integrate new technologies, either that partners are building, that our team is building or potentially through acquisitions. So it's a framework that has been years in the making that we believe put us in position, in very unique position, to really be pioneers and lead this transformation into cross-channel digital marketing.
Thomas Ernst: Okay, that makes sense. The question was though, how much growth are you targeting? And if you do want to quantify, that's fine. I guess, in follow-up to that, the thing that's interesting is, can you really catalyze the hub type of sale where the customers are really looking to standardize on ExactTarget? So my question for you is, are you beginning to see the early signs now that you've assembled this? I mean, we certainly heard the -- at the users conference kind of the interest level. Is that translating into pipeline build from the customers on the suite purchase mentality from you?
Scott S. McCorkle: Tom, this is Scott McCorkle. And yes, that momentum that would have been since that Connections is continuing and our phrased digital marketing system of record is one that we believe will be firmly established as we keep evolving in this marketplace. Let me highlight 2 important points. When we're selling our products in this stand-alone or individually adoptable mode, that they are part of this broader suite, almost always has influence over an organization selecting ExactTarget, because there is this desire to expand in other channels and products over time by most organizations. They recognize the value of a single view of their consumer or customers. They want one platform managing these communications. But the early signs of more aggressive adoption across multiple products, that is likewise happening. The Fairfax Digital example is a good one, that Scott Dorsey referenced. That would be a customer using everything. They really have adopted the Interactive Marketing Hub and most of our channels in spectacular fashion. So we think this real important need to still have individually adoptable products is important, but the whole trend to one integrated suite is absolutely gaining momentum.
Scott D. Dorsey: Tom, I would also share, while we're not going to be breaking out revenue by product line, we really, we're very excited to share how the overall vision is really taking hold. And I think it's really strong evidence by our expectation that more than 20% of our subscription revenue will come from non-email products. And also, we were really pleased to share that we have over 10,000 -- roughly approximately 10,000 organizations leveraging our platform from direct and indirect clients, so there's the big pool of our organizations available for us to continue cross-selling these new products and digital applications into the base.
Thomas Ernst: Okay, great. And while you're not quantifying it, that's understandable. I would assume that you're looking for a high-growth rate organically in the non-email business as well or -- the key question here is, is that growth just the Pardot acquisition? Or are you seeing a much higher growth in your core business and non-email?
Scott D. Dorsey: We are seeing very compelling growth in our non-email organic products, yes. And really, over the last couple of years, those products have grown at a faster rate than our core email offering, although email is still growing very, very quickly.
Operator: And our next question comes from the line of Tom Roderick with Stifel, Nicolaus.
Tom M. Roderick: So in looking at the revenue beat, looking at the deferred revenue growth and just kind of looking at some of these big customers you announced, from Coke to Weight Watchers, Wendy's, I think it's Wal-Mart Canada, is it fair to make the conclusion or come to the conclusion that there's some sort of an inflection point in terms of enterprise adoption of ExactTarget? And if that's the case, where is that coming from? Is that all share gains relative to competition? Are these new RFPs that are going out relative to sort of new initiatives? Just trying to get a sense for where we are in the game of trying to move up the stream to enterprise and how much more room there is to go.
Scott D. Dorsey: Tom, thanks for the question. So let me say this, with our momentum, size, scale, new innovations, we are seeing increased demand in the enterprise segment, for sure. And we've had real strength in the enterprise segment for a handful of years, but that momentum is only increasing in velocity. And we feel terrific about our competitive position and our ability to land more enterprises over time. Much of it comes back to that strong data management integration capability and then really the cross-channel vision and road maps. So I think Scott articulated very nicely many organizations might start with 1 or 2 channels, but they're really selecting the ExactTarget platform because of how we can help them grow on into the future. They know that their needs aren't going to outstrip our capabilities, so that velocity is increasing very, very nicely.
Tom M. Roderick: And Scott, if you don't mind just repeating, I might have misheard it but I heard you say, over 20% of revenues will come from non-email products. So, a, can you just repeat what that number was greater than? And number two, what's the comparable number for what it was in 2012?
Scott D. Dorsey: Sure. So we shared during our prepared devices is that we expect over 20% of subscription revenue to come from non-email products, and that's the combination of our organic products, plus Pardot and iGoDigital. For 2012 just over 10% of subscription revenue came from our non-email organic products, just to give you kind of a sense for comparison.
Tom M. Roderick: Great. And last one for me. If I'm doing my math right, it looks like the U.S. continues to grow really nicely, getting roughly 35% growth, but the international is 84% growth, if I've got my math right. Can you help us break apart what percentage of that international growth is fueled by acquisitions this last year? And what's a good way to think about the way you expect international to grow this year in the context of your guidance?
Scott D. Dorsey: The strong majority of the non-U.S. revenue has really all been built organically. Q4 was actually our first quarter where we had the Brazil acquisition from a year ago as a comparison to 2012 results, but non-U.S. revenue is growing very strong. We would expect it to grow at or above the overall business. And what's really exciting is we have established markets where we have great momentum, and that's really Canada, U.K., Australia and Brazil and the new offices that we opened in 2012 in Germany, France and Sweden that are really just getting started. Their revenue contribution in 2012 was very small, and we really see excellent momentum building into 2013.
Operator: Our next question comes from the line of Robert Breza with RBC Capital Markets.
Robert P. Breza: Maybe for Scott or Scott -- the Scotts. As you look at the Hub Exchange and maybe as you look at customers who signed on with you in the last like, say, 6 to 12 months, what lifetime value have you seen them grow at in taking on kind of that extra platform addition?
Scott D. Dorsey: Rob, thank you and thanks for the question. We're very excited about Hub Exchange. And I think you're kind of narrowing in on a very important point that the more applications that our clients are adopting, the higher level of usage and retention that we see over the long term. So we're really just getting started with Hub Exchange, but what's very powerful. And it gets back to the strong framework of the Interactive Marketing Hub is that when a partner builds an applications via the Hub Exchange, it has all the same very compelling integration characteristics, single sign-on, common data model, integration at calendar, campaign and analytic level. So as these new applications start getting used and stitched into the hub, it's too early to tell, but we really believe that retention rates and stickiness will only go up as marketers using more and more applications across the hub, some of which are applications we built, others are applications that have been built by our partners.
Robert P. Breza: Maybe just as a follow-up relative to the overage question, maybe I will hang on Scott here for a second. Is it mostly velocity, meaning more people using the email side of things? Or is it an increase in terms of the capacity of the email marketing campaign? If you have any kind of insight on the overages, that would be great.
Scott D. Dorsey: Sure. Overages were a very small percentage of revenues really throughout the year, although we did see an uptick in Q4, which is not unusual as holidays sending volumes tend to be large. And our clients really had an extraordinary holiday season. So messaging across all channels was really at record levels, and we did see more in the way of overages. But that's not unusual, certainly, in the fourth quarter, and it still is a very small percentage of overall revenue.
Operator: And our next question comes from the line of Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle: I was wondering if there was any update, and I apologize if I missed it, on the web side of the business and the display advertising site within the suite?
Scott S. McCorkle: Yes, Brendan, Scott McCorkle here. So the website, with the addition of iGoDigital, has really nice momentum, as we highlighted. And importantly, the iGoDigital product had an existing integration with ExactTarget just as part of a partnership we had with that organization pre-acquisition, which we've added to since acquisition. So there's just nice interest across our customer base with the iGoDigital personalization engine and predictive analytics being applied to email content, not just web content. We see great traction on the pure website as well. The display topic is really one of many that fit into the category of additional digital channels that we can quickly add to our platform when appropriate. We look to our customers and customer interests to drive a lot of those additions. We've not made that addition yet, but we keep evaluating many.
Scott D. Dorsey: And Brendan, this is Scott Dorsey. I would just add that response around iGoDigital products has really been outstanding. We built a tremendous amount of interest around Connections. It was very fortuitous for us to be able to announce both acquisitions at Connections, and pipeline and interest from our existing base has been very strong. And it's been particularly exciting for me to see how quickly our enterprise sales organization has embraced the iGoDigital products and are really kind of slotting them into the jet stream of how we're talking about relevance and personalization through the website but also other channels. As we shared in our prepared remarks, the iGoDigital products stand very nicely on their own, but they also have a predictive recommendations engine that we're working to apply to other channels, like email and mobile, which we believe will be very powerful. And we're seeing continued evidence through research and our own experience with our client base that personalization is at the top of the list relative to online and web initiatives for 2013.
Brendan Barnicle: Great. And then just as a follow-up. Last quarter, we had a lot of focus on the pricing in the industry, and I didn't think anybody had asked that yet. I know last quarter you didn't see any change. Any commentary on what you saw around pricing this quarter?
Scott D. Dorsey: Yes. Thanks, Brendan. No, really more of the same. We haven't seen any material shift in the pricing dynamics, although we continue to really, really like our competitive position in the market.
Operator: And our next question comes from the line of Richard Davis with Cannacord.
Richard H. Davis: So I was in Austin, Texas, last week. And some of the guys I was talking to were kind of interested in this -- the notion of using mobile and geo-sensing and sending messages to people either via email or social feed or through a loyalty card online, through your mobile device, when you get within a certain area distance of a store and stuff like that. So where do you think -- I mean, I know this is still evolving, but do you see this as something you would eventually do? Or does it make sense? Or is this something in your kind of mobile road map and just kind of your thought process on that?
Scott S. McCorkle: Richard, Scott McCorkle, thanks for the question. And yes, we sure do see that as part of our mobile road map, specifically our push notification product. There are 2 flavors of location data driving highly relevant interactions: the geo-sensing scenario that you described; and then also just rich analytic data from apps, which can include location being used for segmentation alongside the complete common view of the consumer. Both of those are an active part of our road map.
Operator: And our next question comes from the line of Terry Tillman with Raymond James.
Terrell Frederick Tillman: Scott Dorsey, I got a question for you. In terms of the traction you're seeing in the enterprise side, we appreciate hearing logos. It always sounds good. Where are we, though, in terms of you getting the year personally and you meeting with C-level executives or CMOs or your sales force actually being able to sell to them initially as opposed to these folks that manage the different channels? I'm just trying to get a gauge on how much strategic buying are we seeing now? Or is it still pretty early for that?
Scott D. Dorsey: Sure. Thanks, Terry. There's a really nice trend toward this marketing technology, in general, growing in adoption. If you think about kind of the evolution of marketing moving from more of a services orientation to where we are today, more of a technology orientation, what we do is very important to the CMO and often is very important to the CEO. So we are definitely -- personally, our executive team, our selling organization having more and more, I'd say, engagements at the CMO and above level because what we do is so material to the business. The ROI of digital marketing is really extraordinary, and it's highly measurable. So those conversations are very, very strategic, and we continue to see the role of a CMO is becoming more important over time, and we think we're optimally positioned to really take advantage of that trend.
Terrell Frederick Tillman: I guess, a question that's a hot topic that I have to answer about regularly today is email. And people -- there's just controversy about the size of the email market, the real TAM, the real growth rate. And sometimes, people use proxies that maybe aren't good proxies for your business. But nonetheless, folks are really trying to understand the inherent growth rate in email. There's industry forecast that say about 10%. Last time I checked, you're growing significantly in advance of that on your email side. What do you think is going on there? Do the industry folks -- are they just mis-sizing it? I know you guys do a lot of operational email. So did they just miss that? Or is that really the right growth rate and it's the share gain? I would just love some reconciliation on the perception out there in the t industry growth rates and then your growth rate in email.
Scott D. Dorsey: Sure, Terry. We believe the growth in email has been underestimated for many years, and I feel no different today than I have in the past. I do believe we're gaining share, but I also believe the industry is going faster than most realize. And I think it's because email, to your point, is so useful, both from a marketing perspective but also more on the operational and transactional side. And organizations want one platform that brings both marketing and operational communications together. And those operational communications are really a greenfield opportunity. There off and running off of internal servers and out of IT departments, so I think that's one aspect of the industry that's not well captured. I would say a second is also the international opportunities, so the forecast for the email marketing are all U.S.-centric. And you see us really putting more and more investment in the global expansion and that's because we're seeing the demand. And we're seeing the organizations all around the world really recognize what businesses in the U.S. have seen for a number of years, that data-driven digital marketing produces results. It's cost-effective. It's fast, and it can drive top line and also save on the bottom line. So I think those are probably the 2 biggest elements, the operational side, coupled with geographic expansion, and then we do believe we're also taking share.
Terrell Frederick Tillman: Got it. And just a last question, an easy one for Steve. I apologize if you actually did talk about this, but just so we can be accurate or at least directionally right with the mix of subscription versus service revenue for full year '13.
Steven A. Collins: Yes, we did not provide that guidance. But we have said in the past, our general target is an 80-20 split, which we do expect to continue. But you might see deviations quarter-to-quarter as the services can vary some and based on our hiring pace and where clients are in their implementation cycles and our degree of usage of services partners where we may not be recognizing the services revenue.
Operator: And our next question comes from the line of Michael Nemeroff with Credit Suisse.
Michael B. Nemeroff: Just to put a fine point on Terry's question. Scott, so email marketing is growing north of 20%, is that what I heard you say?
Scott D. Dorsey: Michael, thanks for your question. I actually didn't provide a number relative to the overall growth rate. I think all I can really accurately speak to is our growth in email, which we continue to see to be very robust. But I do believe historically, growth in email has been underestimated, and I think it's been underestimated because there's a lot more adoption and usage than one would expect. And I actually think the advent of smartphones and tablets has created the always-accessible, always-addressable consumer that wants permission-based messaging and can handle an increasing volume. I think that's 1 component. But then the other 2 I referenced, there's a lot of opportunity on the operational and transactional sending side and then in a lot of opportunity on the international expansion.
Michael B. Nemeroff: And then one of your competitor's responses is they're having some issues with some contracts that are -- that were large and signed a couple of years ago that are coming back around, that are being repriced at lower prices. Is this an issue that you're seeing or that you would see at any point in time going forward?
Scott D. Dorsey: We're not seeing an acute issue, as you've describe. I think there is a dynamic that as organizations are increasingly their volume, they expect a lower per message fee. But in aggregate, the contract still continues to grow at a really high rate. So we're not seeing a pricing dynamic today that's really any different than what we've seen historically. And often, our services and technologies help organizations grow their permission-based subscriber list, their marketing database, if you will. So it's very common that those messaging volumes go up year-over-year, and that's a nice driver to overall contract value.
Michael B. Nemeroff: And one for Steve, if I may. Steve, looking at the guidance for the full year, I understand -- when I back out the acquired revenue that you guided to from the acquisitions, it does look as if the revenue guidance is in the high teens, and that's a pretty sharp deceleration from the organic growth that you put up in 2012. Could you explain what the delta is there or why the guidance is so much lower than the organic growth was in 2012?
Steven A. Collins: Yes, I think your math is a little bit off. I think you need to also remove the 2012 revenue from the acquisitions when you do that. But no, I mean, we're very proud of our growth rates. Again, as I mentioned, the non-email growth, even the email growth, continues to grow strong. We have aggressive goals internally. And a company of our size continuing to grow at this rate, we're very pleased with.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session. I would now like to turn the call over to Mr. Scott Dorsey, CEO and Chairman, for closing remarks.
Scott D. Dorsey: Thank you. In conclusion, in summary, we're really proud of our fourth quarter and our full year 2012 results, and we just couldn't be more excited about our growth potential in 2013 and beyond. I want to thank all of you for joining us, and I hope you have a great evening. Thank you.
Operator: Ladies and gentlemen, we thank you for your participation in today's conference. This concludes the presentation, and you may now disconnect. Have a good day.